Daniel Wolfe: Good morning and welcome to 180 Degree Capital Corp.'s Fourth Quarter and Full Year 2019 Financial Results Call. This is Daniel Wolfe, President and Portfolio Manager of 180 Degree Capital. Kevin Rendino, our Chief Executive Officer and Portfolio Manager, and I would like to welcome you to our call this morning. [Operator Instructions]. I would like to remind participants that this call is being recorded, and I will be referring to a slide deck that we have posted on our Investor Relations website, at ir.180degreecapital.com, under Financial Results.  Please turn to Slide 2 that contains our safe harbor statement. This presentation may contain statements of a forward-looking nature relating to future events. Statements contained in this presentation that are forward-looking statements are intended to be made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to inherent uncertainties in predicting future results and conditions. These statements reflect the company's current beliefs, and a number of important factors could cause actual results to differ materially from those expressed herein. Please see the company's filings with the Securities and Exchange Commission for a more detailed discussion of the risks and uncertainties associated with the company's business that could affect the company's actual results. Except as otherwise required by federal securities laws, 180 Degree Capital Corp. undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties.  I would now like to turn the call over to Kevin.
Kevin Rendino: Thanks, Daniel. Good morning, everyone. Let's start with the conclusion. While it wasn't a great quarter, we did have a great year in our strategy of public market activism, a 70% return in our new strategy to be exact, which trounced all the relative indices.  We suffered through a second straight quarter, and quite frankly, another year where our private portfolio, which was essentially the sole business of Harris & Harris, hindered our performance. This quarter, we had a $0.06 hit to our NAV, and we suffered a $0.13 hit or almost $4 million to our NAV for the year and from our private portfolio. We ended the year with over 50% of our balance sheet in cash and liquid securities, that's up from 21% when I first joined the Board in the middle of 2016. Our book value was $3.06, our share price is $2.12. More importantly, out of the $2.12, we have $1.65 in cash and liquid securities. That's up from just $0.60 when we first started. So while it wasn't a good quarter for us as a whole, we have certainly built a base of capital that will certainly support our share price. While it wasn't a great quarter, it was a great year for our stock picking, as I've said, and it has been a fabulous 3 years, highlighted by a 210% return from our public stock picking. I'm not sure when we -- when we started, I wouldn't have thought a 210% return over 3 years was a likely outcome, but in reality, that's what we did. Sitting here today, I wouldn't want to have known what would have happened to Harris & Harris if our shareholders did not support the Board's decision to overhaul our business strategy. Actually, I can guess, it would have been a disaster for all of us. Our book value, instead of being $3.06, would have had a 1 handle to start, and given the stock would have probably traded at the similar discount that it traded when we first took over, I fear our share price would have been below $1. Three years later, we've created a successful business with an optimistic future, one in which we don't have to worry about cash falling below 0, but instead, can focus on thinking what we have to do strategically to put us in a better position than we're even in today. How do we gain more access to more assets? I know one of the things we will do this quarter is debate whether or not we should initiate an ongoing dividend. We are in such good shape from a balance sheet perspective that perhaps doing a reverse split to get our stock above $5 and making it more investable for others should be considered. All in all, I'm just grateful we get to spend the time thinking about how to get better as opposed to how we're going to survive. In the last three years, not only have we survived, we have thrived. Next slide, please. Here is our historic trend of our NAV. Over the course of our first 3 years, we have grown our NAV by 31% versus 20.5% increase for the Russell Microcap Index. You will soon see that the entirety of this gain came from our public stock picking. One of the things we have told you, and one of the reasons why I was attracted to the micro-cap space to begin with, is that we have a very low correlation to the broad market. We like that. There is no ETF robotic-like pattern to our world. The market is so inefficient because there was less indexing, limited analyst coverage and low liquidity. We like the fact that if you are right about your stock picking, there are many opportunities in the micro-cap world that offer asymmetric risk-reward opportunities. Our performance is highly dependent on the specific news and fundamentals relating to a highly concentrated portfolio of 7 to 10 stocks rather than a diversified basket of 100 names. This low correlation should be evident by now. For example, this quarter, our public stocks rose only 7.7% versus a 13.4% increase for the Russell. However, last quarter, when the Russell was down 5.4%, we were up a staggering 28%. The quarters are indeed hard to predict, but I'm beyond thrilled with how the long game has played out for us. This year alone, as I said, we achieved a 70% return from our public stocks and 210% since we started. $3.06 is where we ended the year on book value. Next slide, please. Here was our share price discount to NAV. I think we have made a ton of progress on the NAV side. We have gone from $2.34 to $3.06 since we started. That entire increase came from our public holdings. The increase has come despite only being able to access 37% of our balance sheet during that period of time. You know the story by now, our goal is to have 100% of our assets in cash and liquid securities. It is our belief that the closer we get to achieving that goal, the closer our stock would trade to NAV. Our share price has risen 56% since we started, primarily because we have grown our NAV, but secondarily, because the discount we have traded to our NAV has decreased by about 1,000 basis points, given the mix shift of our balance sheet. Please turn to Slide 6. Here are the sources of change in our net assets for the quarter. We have a starting point of $3.05. We got a $0.13 gain from our public holdings, a $0.06 hit from our privates and $0.06 in expenses, half of which was an accrual for a bonus pool for the management team. Given for the entirety of 2019, we had a successful year.  Turning to Slide 7, here is the source of change for the year. While I've said it wasn't a great quarter by any stretch, it was a heck of a year for our public stock picking. Again, we start with $2.64 NAV, we had $0.72 or $21 million from our public market stock picking. The private turned NAV by $0.13. Our expenses were the normal $0.10 for the year or so, and there was an added $0.07 of a bonus accrual for the overall performance of our team. On the next slide, it's the same slide, however, this is for the three year period ending 2019, which happens to be the entirety of 180 Degree history. We start with assets of $2.34 per share or $72 million. In the last 3 years, we added $36 million of gains in the public portfolio or $1.18 per share. With privates costing us $0.06 and all-in operating expenses, including the restructuring charge we took in the first quarter of 2017 of $0.34, we end up with $3.06 of book value. I think this chart is completely self-explanatory in illustrating just how broken the business was when we took over and how doing something completely different has aided our shareholders. On the next slide, we talk about our performance in Q4 for our public companies. As we said, the public stocks had a 13% increase to our NAV, led by Quantum. Quantum helped by $0.10 after the company's reemergence from the pink sheets following its accounting scandal, coupled with a favorable EPS report and a new belief that not only is tape not a declining business, it's actually a growth business going forward. Mersana helped by $0.04 in the quarter as anticipation and optimism for updates on its ongoing clinical trial caused the shares to have a significant rise. We sold 201,000 shares of Mersana during the quarter at an average price of $5.81 and actually sold the rest of our holdings in Q1 at $7.35. For the quarter, Mersana increased our NAV by $0.04.  Maven declined by $0.02. There is no material developments in Q4. Actually, most of the news was generally positive as the company provided -- forecasted $160 million in revenue and $20 million of EBITDA for 2020. Remember, our stock isn't registered. It's a pink sheet company and it is incurrent on its financials. So we'll still use a VWAP to price at the end of the quarter. We do expect TheMaven financials to become current this quarter. Other notable events in Q4, one of which was Lantronix, helped our performance by $0.01. They announced an acquisition of Intrinsyc Technologies under the new leadership of Paul Pickle, who is the former CEO -- COO at Microsemi. Synacor is a whole other story to itself. In this particular quarter, the company wound down its AT&T portal contract and reduced staff in its efforts to rightsize the business. The stock cost us $0.01. This quarter, the company announced a merger with Qumu, which is an enterprise video service platform. As I said, a whole lot of the story onto itself. I do believe the stock has discounted the worst possible outcome and provides enormous upside from where we are today. Please move to the next slide. This slide enumerates our public stock picking into a gross total return, as you see, 7.7%, led by Mersana and then Quantum. We try our best to be 100% transparent with all that we were doing, and you could see our inter-quarter activity and purchase and sales of each of position is on this slide. Turning to Slide 7, this is the same slide, but only a 1-year look. As you can see, a 71% gain for all of 2019 on the backs of great performance from Adesto, Quantum, Maven Industry.  On Slide 13, here is our complete track record since we started. I have to say, I can think of no other slide I'm more proud of than this one. We had a vision. We had a plan. We had a purpose. But you know the old saying, a plan is fine until you get punched in the face. When we first started, I knew what I want us to do, what I wanted us to become, but I did not know what we -- but did I know we were going to get it done? No, I did not. I'm humble enough to know that despite your best intention, sometimes you run into a poor investing cycle.  Fortunately, that has not been our reality for the last 3 years. It has helped that we have had a fantastic global market wins at our back, don't get me -- don't -- we don't take that for -- well that's an important component to this. But it's also fair to say, a 210% return over that time period is quite extraordinary. Next slide, please. Here is a comparison of our public portfolio gross total return and change in NAV to the market. As you can see, Q4 wasn't a great number, but it was a great year for our public gross return. 70% for us, 22% for the Russell Microcap. 210% for us, 20% for the Russell Microcap over 3 years. While our NAV did trail the Russell for this year, we have grown it by better than 50% over the Russell over the first 3 years. I can't emphasize this enough, we've been only able to access an average of 37% of our balance sheet for the last 3 years, and we've suffered from the results of our private portfolio companies not helping at all. On the next slide, here is the makeup of our balance sheet. I'm quite pleased that since we started, we have doubled the weighting of our cash and liquid securities to 50% of the total assets. I remember when I first started as a Board member of Harris & Harris, it was the summer of 2016, management provided a chart that showed our Board that our cash balances were headed well below 0. Today, we have $52 million of cash and liquid securities or as I've said, the equivalent of $1.65 per share. That is a very significant turnaround. Next slide shows a quick update of our public performance so far in Q1. The coronavirus, perhaps the thought of Bernie Sanders as President, has led to a 3.5% decrease in the Russell Microcap to start the year. So far we've had a good quarter from Potbelly. We did file a 13D earlier in the year, and we've also had a good start to the year in TheMaven.  Adesto announced the sale of the Dialog Semiconductor early this -- last week, and we've sold our remaining position. After reporting a great Q3, Quantum reported a sloppy Q4. It beat on the bottom line, but experienced some pushout from one of its hyper-scaled customers. Given the pullback, we think Quantum represents extraordinary value looking down the road. However, year-to-date, the stock has hit us by $0.10. All in all, as of today, despite the fact that the Russell is down, we have a 3% gain in our public portfolio or $0.05 per share. Of course it should be noted, this does not take into consideration our normal expenses or certainly doesn't take into consideration our private portfolio performance. Let me turn the call now over to Daniel. Daniel?
Daniel Wolfe: Thank you, Kevin. Please turn to Slide 17. As Kevin mentioned, in Q4 2019, we entered into a subscription agreement to invest $4 million in conjunction with the merger of B. Riley Principal Merger Corp., a special purpose acquisition vehicle or SPAC, with Alta Equipment Group. Alta is a provider of premium materials handling equipment, construction equipment, cranes, warehouse solutions, power generation equipment and construct good contractors rental equipment. Alta operates a branch network of locations in the U.S. Midwest and Northeast that offers its customers a one-stop shop for most of their equipment needs by providing sales, parts, service and rental functions under one roof.  The merger closed on February 14, 2020, with more than 89% or approximately $128 million of the capital initially invested in the SPAC remaining in the entity to support the transaction. $184 million investment purchased approximately 421,000 shares of Alta's common stock as well as warrants for the purchase of an additional 150,000 shares of common stock at a strike price of $11.50. Alta's common stock and warrants trade on the NYSE under the symbols ALTG and ALTGW, respectively. Alta is headquartered in Livonia, Michigan, and began as a family-owned business that was founded on the sale -- founded based on the sale and service of forklifts. In 2008, the company's current Chief Executive Officer, Ryan Greenawalt, rejoined the company after working in the financial services industry. Since returning to the company, Mr. Greenawalt has successfully completed and integrated 16 acquisitions that have expanded the company's addressable markets from primarily forklifts to other industrial and construction equipment. These acquisitions also expanded the geographic reach from primarily Michigan to other states in the Midwest and Northeast. Along with organic growth of its existing business, consolidation is a core piece of Alta's strategy to grow the company. Alta has established itself as a reliable partner for the original equipment manufacturers or OEMs, that supply the equipment and parts Alta sells to its customers, which has led to Alta becoming a partner of choice for consolidation of dealerships. Two acquisitions closed simultaneous with the merger of the SPAC that expanded the company's reach into New York, Vermont and Florida. Alta's estimated revenues in 2019 will be approximately $645 million, including revenues generated by NITCO, which is a company that it acquired last year. Through organic growth and the acquisitions completed at the time of the merger, Alta estimates revenues for 2020 will be approximately $1.1 billion, with approximately $390 million of these revenues generated by the acquired companies that coincided with the merger with the SPAC. At this level of revenues, Alta estimates it will generate $121 million of adjusted EBITDA and $39.9 million of levered free cash flow. Our cost basis per share of $9.50 equates to an entry valuation of approximately 5.4x adjusted EBITDA. We believe Alta's valuation is low, with the potential for significant upside from both EBITDA growth and multiple expansion, particularly since Alta generates positive levered free cash flow.  We're excited to be shareholders of Alta and look forward to being part of the company's growth as a newly listed public company. Please turn to Slide 18. This slide lists our 10 largest legacy privately held holdings at -- by value as of the end of the quarter. While we continue to believe there are companies in the portfolio that hold promise to build value, the time lines and potential exit values for these companies are highly uncertain. We have often talked about our desire to shepherd our existing private portfolio to exit or explore opportunities to sell our positions in those companies. The pace at which we are -- have been able to monetize our investments in our private portfolio has been disappointing. We are often asked the question, why aren't you just selling the private portfolio faster? To be clear, our ability to force liquidity event is very limited since we do not own controlling states in any of the -- our private holdings. We do also -- do not need to sell our private holdings in a fire sale to fund operations. The success of our public investing strategy has led to the improvement of our balance sheet, which had $51.2 million or $1.65 per share in cash in public securities as of year-end. We have the luxury of being able to sell our private holdings when we believe it makes sense for shareholders rather than being forced to, to be able to survive. Please turn to Slide 19. As we have noted in previous letters, we have dramatically reduced our cost structure under our new strategy. In 2016, before our funds changed in investment and focused on management team, our operating expenses, excluding stock-based compensation and interest on outstanding debt, averaged approximately $1.3 million per quarter. For Q4 2019, our operating expenses, net of sublease income equaled approximately $939,000. In Q4 2019, we had a noncash expense of approximately $130,000 for our legacy medical benefit retirement obligations due to a lower discount rate in 2019 versus 2018. In Q4 2018, we had noncash benefit of approximately $180,000. Excluding these noncash expenses, our day-to-day operating expenses during the quarter were similar to those year-over-year. Please turn to Slide 20 and 21. We continue to anticipate the reductions in our operating expenses, as a percentage of net assets, will be based on growth in our net assets rather than further reductions in our expenses. We remain committed to treating every dollar of shareholder money with the utmost care and consideration. It is much easier for us to grow our NAV when the expense hurdle rate is where it is today. Based on the overall positive results for the entirety of 2019, the Compensation Committee of our Board of Directors voted to accrue an additional $977,000 in the fourth quarter of 2019 for bonuses for 180 employees. As a reminder, the total 2019 bonus will include the deferral of 1/3 of the amount of payment for future years, only if our individual and corporate performance is persistent. We note that in 2018, despite the increase in our NAV and that our public stock picking performance outpaced the Russell Microcap, we recommended a bonus pool of 0 for that year. Please turn to Slide 22. As we do each quarter, this slide presents a scorecard for our performance during 2019 on multiple metrics as compared to the end of '18. We are proud of our performance in 2019 and are focused on continuing to work to build shareholder value each and every day.  I will now turn the call back over to Kevin.
Kevin Rendino: Slide 23 -- thank you, Daniel. Slide 23 is a sum of the parts normal analysis we do every quarter. If you give us full credit for our cash and liquid securities, effectively, the market is paying us $0.40 on the dollar for our private holdings. More importantly to me, and as I've said, our cash and liquid securities equals $1.65 per share. This is up from $0.60 just 3 years ago. That number is more important than any number on this page. Finally, on our normal goals page, we think we've actually achieved success on our vision for 180 on the first 3 points you will see on Slide 24. Everyone knows I'm the fourth biggest shareholder of 180. I've invested 100% of my comp through 2018 into our share price. Management, in total, owns 5%. We are certainly aligned with you, and we will do what is in the best interest of shareholders at all times. It's been a great 3 years. This past year, our stock advanced 22%, are in line with the Russell Microcap. But for 3 years, our share prices was in 56%. This is against the Russell Microcap Index of 20%, and we've even beaten the S&P 500, which has been FANG- dominated. The S&P 500 has risen 53% over the same period of time. I can't believe that we have the ability right now to think about initiating a dividend versus where we were 3 years ago, but I'm pleased that we're going to be able to debate that issue. You know where to find this if you want to talk TURN at any point in time during the quarter. For now, Daniel, why don't we open it up for questions?
A - Daniel Wolfe: Thank you, Kevin. [Operator Instructions]. All right. Please go ahead.
Unidentified Analyst: I had a question -- a couple of questions, actually. In regards to the dividend, I'm a little surprised by that. I think retaining capital based on you guys' investment track record is really important and hope you guys continue to do that. I'm -- I guess I'm wondering what is weighing that decision to purchasing shares.
Kevin Rendino: So thank you for your question. So as I said, it's a -- it'll be a debate. It will not -- we don't know the answer yet, and we'll debate it with the Board. We have looked at -- so we have $52 million worth of cash sitting on our balance sheet. Over half of our balance sheet is now in cash. We've obviously been wildly successful in our public stock picking over the last 3 years, and we were successful in the last year. We have looked at, as we always do, should we be returning some of that capital back to shareholders. Now if you're going to give permanent capital back to shareholders, you really want to think that through, because permanent capital, as you know, is the -- is the best of all capital, it's permanent. And we saw the benefits of that in 2018 when everyone was throwing stocks out the window in the fourth quarter, and we didn't have to sell. Everyone else did and we were sitting there with the basket. We've looked at share repurchase in the last 2 or 3 years, because I do believe, as a value investor, when a stock is trading at 70% of book value and you believe in the book value, then you should be thinking about buying back stock. The problem for us is that we have to buy so much back for it to actually be accretive, and I'm not willing to give back to shareholders, to us, to any -- to us on the phone, let's say, $10 million or $15 million or $20 million. And that's the amount that you'd actually have to buy back for it to actually have meaningful accretion. So that's number one. Number two, the dividend that we spoke about is not a special dividend, and it's not going -- we're not going to have a 10% yield. But if we can think about maybe having a 2% yield, which is better than a 0% yield, a 2% yield is basically $1 million or so of capital returned back to shareholders. Out of a total of $50 million, it's really not all that meaningful, and it's a token of our appreciation for the fact that Harris & Harris shareholders suffered through years and years and years of decline in their NAV, a decline in their share price in a decaying business, and it's actually just a reward for the success that we've been able to achieve over the last 3 years. Again, it doesn't say anything about our ability to achieve a higher return than 2% yield that shareholders are going to get, but at $1 million payback, let's say, if it was $0.01 per share or so, it's certainly not going to impact our ability to go do the things that we've been doing over the last 3 years. A share repurchase program, we'd have to give back -- we'd have to hand back too much money for that to be accretive. And quite frankly, if we did that, then you'd all say to me is we have nothing else to do with our money that the opportunity set that's in front of us is not good enough, and we don't think that's the case. So that's the short -- I guess, the long answer to your question. Does that help?
Unidentified Analyst: No, I appreciate that. Next question was 180 Phoenix. I noticed that entity was created I -- in the filings. It wasn't there before. It looks like -- it's like a -- other people's money entity that you guys are looking to -- I mean, can you talk a little bit about that entity?
Kevin Rendino: I can. By the way, who is calling? Who -- just so...
Unidentified Analyst: This is Sean Bidet [ph], a private investor.
Kevin Rendino: Thanks. So like we did with -- well, not like we did, you know that in the last 3 years, we've done a couple of SPVs around individual stock positions. The Street was our first, Synacor was our second. We actually have a SPV set up for D-Wave, I believe. Right, Daniel? So we've done SPVs before, we've set up entities before, to take advantage of individual stock positions and our ownership of those companies. 180 Phoenix was designed as a mechanism to actually go out and have a concentrated version, so not one stock, but a concentrated version. Essentially, the similar types of names that we would own in that fund that we own in 180. It would not be a diversified portfolio, as I said, it'd be a concentrated 7- to 10-stock portfolio that would invest alongside 180's balance sheet. We would only use that capital for ideas. It would be a call to capital sort of private equity-like fund, where we would only ask for the capital after we found the idea. I think some of the reasons why folks have been wildly unsuccessful in investing over the years is because they have -- folks have great performance for a while. The marketing guys want you to raise more money, they raise more money and then the portfolio manager just starts throwing money at the market because he has to because the money is sitting there. That is usually equated to lousy performance. I would say that this fund will only be, hey, we'll try and raise the money through our relationship with an outside party and on -- with the help of Rob Bigelow, who is our Head of Fund Marketing here at 180, but we will only access that capital when we have a good idea. If I don't have any good ideas, I don't want anybody else's money. If we have a good idea, then hopefully, we'll be able to access capital.  To me, that's the only way I want to manage money for the entirety of the rest of my life. I don't want to manage money based on the amount of capital that I have and having to put money at work at any price in -- at any time into the market, just so I can say, I don't have any cash. That's not how I want to manage money for 180 going forward, and we won't. So we'll go to try and raise the money, and when we have the idea, then we'll go access the capital.
Unidentified Analyst: And how has traction been on that, as far as conversations together in yes, you -- I mean, I'm just trying to get a feel for the market and how they're -- how they feel about that -- I mean, obviously, you've got a 3-year track record down. It's been spectacular. But I want to know, when you're presenting them with that -- with this, I guess, vehicle...
Kevin Rendino: Well here's how I'll answer that. We're preparing, we have no traction because we have no money, and we'll let you know how it goes as time goes on. We've literally just gotten started. We have a fund deck that's available and that we're going to go out to the market with at some point, and we'll let you know how it goes as we have some of those meetings.
Daniel Wolfe: Zach, go ahead.
Zach Liggett: Just curious if you could give us an update on the two top private holdings, AgBiome and D-Wave. It's about 1/4 of the NAV, and I'm curious if you can give us an operational update on those two.
Daniel Wolfe: Yes. I mean so what I can provide is just an update. AgBiome continues to bring its first products to market. The -- those products, the first one is a hauler product that has -- that was launched at the end of last year, and it is coming into the market right now. And they also put out a press release that they signed a pretty good deal with a large company, Genective. And so the business continues to scale, continues to grow, and I think there's a lot of opportunity there. D-Wave, what I can only talk publicly about what they've put out. They did put out a press release with NEC at the end of last year where the 2 companies are planning to work together, and NEC is committed to invest in the next round financing when it comes together. And they're continuing their efforts to -- and they also launched on Amazon's cloud service as an offering. But beyond what's publicly available with these companies, I really can't comment further.
Kevin Rendino: If I gave you my own view, Zach, my favorite company that we own actually is AgBiome. It's run by a spectacular group of executives that actually have a great way of modeling their business and setting up their business structure so monetization can happen over time. I don't know when it will, but I feel like they're in the right place in the right industry with the right secular tailwinds. D-Wave has been around for a very, very, very long period of time. They have a lot of competition. Their competition is not Campbell soup. Their competition are engineers at Amazon, engineers at Google, engineers at IBM. Some of the smartest people in the world are working on the same things that they're working on. It's a very tough business. They -- and quite frankly, we'll see how this round of financing goes, that will help us determine whether or not they actually are making headway or not in terms of getting the right kind of folks that actually believe in their strategy, we'll see.
Sam Rebotsky: Kevin and Daniel, you guys have done wonderful. Sam Rebotsky. So the Synacor, I guess, Kevin, do you stay on the Board when this merger takes place? They're going to reduce the members of the Board.
Kevin Rendino: I feel like, by the way, thank you for your comment. I feel like we've done an amazing job in our new strategy. I don't necessarily feel like we've done a great job in our old strategy. Although I guess, that's why I'm here. It's because the old strategy didn't work, and it didn't work for a lot of different reasons. We're trying to make headway there, for sure. But it's been a challenge. We have a Board meeting this week, Synacor. My intention is that I want to stay. That's not up to me, that's up to the Board -- the rest of the Board. We're going to shrink from 9 to 4 is the plan, with two other Qumu members, and then we're going to go out and hire a outside chairperson that's got SaaS and software experience. So my -- Sam, my intention is I absolutely want to stay. It's an important position for 180. We've done an SPV around it. I think there's a tremendous amount of opportunity there. I think this acquisition actually makes strategic sense. I think there needs to be a complete different view of this business from the Board and the management team than the one that we've been running for the last 3 years. I've been on the Board, but I haven't run any committees. I've been 1 of 9. It's been a learning experience on the one hand. On the other hand, when you're 1 of 9, you have a less limited way of making headway and of having an influence. But I suspect that because I've raised my hand and because I'm new to the story, I assume they're going to nominate me to be a continuing member of that Board. If they don't, I'll absolutely be blown away, to be perfectly honest. That would tell me everything I need to know, but I don't think that's going to be the case. I think I'm going to stay on, and then I'm going to own this thing from here on out as something that I'm going to spend a ton of time on. Because the opportunity for this company to excel and to reward its shareholders from its last sale is significant. Let me give you an -- just one example. I don't know if you know -- do you know SeaChange?
Sam Rebotsky: Yes.
Kevin Rendino: SeaChange was a broken business not more than a year ago. It had change in the management team and the stock has gone from like $1.50 to $4. I've seen Rubicon Projects, I've seen Perion Networks. It's not like these companies can't work. I always say that management is everything. You can take an average CEO -- I should say, take a great CEO, and that person can turn a lousy company into a great company, and a terrible management team will ruin a great company. I believe that management is everything to us. So we have a good business here. We have a business of trading at an enterprise value of $37 million. It's got $100 million of total revenue, but more importantly, it's got $50 million of SaaS and software revenues. This valuation makes no sense. But it is a -- it is the valuation that it is, and it's a reflection of what the entire world thinks of us as a Board and the management team, and we've got to solve for that. We've got to run this business differently. We've got to talk differently. We've got to have a sense of urgency around this one, and I think we will. And I think that starts this Thursday when we have our board meeting.
Sam Rebotsky: Well, that sounds good, Kevin. Well, the AT&T, which they expected great things, till this fill in that was unfortunate. Now the 2% dividend, the one thing it might do, it might attract shareholders who cannot buy without a dividend. Is that a possibility to follow through [indiscernible]?
Kevin Rendino: Right. So there's a couple of things that we've heard. This is going back to the first question, but you reiterated it. I don't believe in doing something just for the sake of doing it, but we've heard from our biggest shareholders that, number one, your stock is uninvestable because it's less than $5. And your stock is uninvestable because it has no yield. But we can't touch it if it has no yield. And we can't touch it if it doesn't trade above $5. So it's making us more investable to folks that actually have an interest in owning us. It's really it. As you know, it's -- well, I mean, a dividend is an actual change in your balance sheet. A reverse stock split, for me, it's just math. It shouldn't matter, right? But psychologically, somehow, a company that's split its stock 2-for-1 is deemed to be a great company and a company that splits its stock 1-for-2 is deemed to be a failure. In our case, let's recognize where we are, such a better business today than it was 3 years ago. 3 years ago, we were on our way to Chapter 11. Let's face facts. That's what the math said we were doing based on where the cash was. So now we're at a completely different place. So if we reverse stock split and get our stock above $5, we make ourselves more investable to folks. That's all.  And it's been a drumbeat from our biggest shareholders. So I feel good that if we do that, we'll have the support of all of our shareholders. And we're doing it for the right reasons, not just for the sake of doing it.
Sam Rebotsky: And in the first quarter, I guess, the IOTS and the gains you took on your portfolio, this seems pretty good. I don't know what the profit number is, but you have a nice profit and just keep up what you're doing, Kevin and Dan, and hopefully, the stock could get above the net asset value and then you might be able to, like the AgBiome, to get that transaction. Even though it's beyond your control, there is an awful lot of value there, and you write-up when you write-up when there is transactions, and the values are greater. And with your NOLs, you are afforded no taxability. So good luck, you're on the right track.
Kevin Rendino: Sam, thank you, as always, for your questions and your support.
Daniel Wolfe: Thanks, Sam. Please go ahead.
Brandon Goyette: Brandon Goyette from Delta Investment Group. Going forward, what do you see as some of the overarching investment areas that you're looking at? Is there any one particular sector? Or -- and also two, I guess, second part of the question is, given the supply chain disruptions and everything we're starting to see global networks, are there any -- are you going to be pivoting that viewpoint based on any of the recent possible pandemic issues you're seeing out there?
Kevin Rendino: Well, we've seen supply chain issues in China for a while. This dates back to the trade wars and the trade discussions that have been taking place for the last 2 years. So it's been a choppy environment in China. Layer on the coronavirus, and it has become a very nervous time for technology companies that's there. Apple obviously announced that they were going to miss -- one of the things we've learned in the last couple of days, by the way, was Apple sort of restarting its purchasing from China, where there is a basically a 3-week halt due to the concerns that were taking place over there. But there's been a sort of a resumption of parts buying that we've heard in the last day or so. So Brandon, your -- so the question, I guess, so we are not -- we're worried about what's happening. We'd like to think that many of our most recent purchases are actually away from that. Maven has nothing to do with China. Potbelly has nothing to do with China, and that's where we've actually been adding to. We've been reducing companies like Airgain, Adesto, EMCOR.  Lantronix has been on the buy side, but we've actually been -- PCTEL last year. So we've -- on great strength, we've actually reduced the number of our "IoT holdings". Remember, Adesto was about 10% of our holdings at one point, it's now 0. So we are concerned about how this plays out, for sure. I will say, as you think about over the next 3 years, we're [indiscernible] dot value investors. We buy stocks whose companies trade at 2/3 the market on either price to earnings or cash flow, half the market on price to book. For the most part, those are always cyclically oriented areas. They're industrials. They're like Alta, the company that we just bought. They're materials companies. They could be energy from time to time, although we've truly shied away from energy intentionally in the last 3 years, having a fairly subdued view of the group.  You're never going to see a lot of biotech. As a matter of fact, Mersana was a name that I watched that we own -- that was private that came public. The stock went from like $12, to $20, to $9, to $17, to $7, to $20, to $1, to $8. I had no ability, the entire way to have any understanding for what that company was going to do or how that stock was going to work in the next quarter. So that's what happens when you get companies with no revenues and they're just built on hype. So you don't have hype stocks in our portfolio. You just have a portfolio of, for the most part, underpriced, undervalued companies with real businesses with real management teams, and those tend to be more cyclically oriented industrials materials. And we do believe, over time, that technology is in a secular bull market, especially with the with 5G coming down the road. It's probably too much hype for 5G in the current quarter or 2, but as you think out the next 3 to 5 years, it's real. The investment for 5G is real, and many of these companies are going to have tailwinds for a significant periods of time. So if we can buy those companies when everyone thinks they're cyclicals and sell them when everyone thinks their growth stocks, that would be a good -- a great place to start and finish as we think about technology companies. Again, long-winded answer, that is the answer.
Daniel Wolfe: We have no further questions in the queue.
Kevin Rendino: Well, thank you, everyone, for joining us this morning. As I said, it wasn't a good quarter, but it was a great year and it's been a fabulous 3 years. We'll try our best to control what we can control, which is our investment, small cap equities with the activist approach that we take. You saw our recent 13D filing on Potbelly. Hopefully, there'll be more of those as the year unfolds. We'll be careful with your capital against the backdrop of a market that's traded close to 30,000 and some issues, i.e., an election year, which is going to cause volatility from day-to-day, the coronavirus in the short term, which clearly is causing economic distress across various continents and in certain sectors. So every dollar that we invest in the marketplace is going to be when we truly believe that we've got a great investment on our hands, and if the stock discounts, a lot of the worst possible news. We'll try our best to monetize our private portfolio. We've already managed our expenses as best we can. You know that if we don't do well and we don't grow our book value, there's no bonus pool for management that you saw in 2018. Hopefully, we can make money for all of you, and we can share in that -- in those results. But we've kept our operating expenses low. We'll try our best to monetize the private companies, and that's -- although that's been a challenge, We'll keep at it because that's a significant part of what we need to do in order to get this company to have 100% of its balance sheet in cash and liquid securities. So thank you for your time. We look forward to reporting on Q1 sometime in late April, early May and happy investing.
Daniel Wolfe: You may all disconnect now. Thank you.
Operator: Goodbye.